Operator: Good morning, ladies and gentlemen, and welcome to the Beacon Roofing Supply's Fiscal Year 2012 Third Quarter Conference Call. My name is Chris, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes.
 On this call, Beacon Roofing Supply may make forward-looking statements, including statements about its plans and objectives and future economic performance. Forward-looking statements are subject to a number of risks and uncertainties. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors including, but not limited to, those set forth in the Risk Factors section of the company's latest Form 10-K. The company has posted a summary financial slide presentation on the Investor section of its website under Events and Presentations that will be referred to during management's review of the financial results.
 On the call today for Beacon Roofing Supply will be Mr. Paul Isabella, President and CEO; and Mr. David Grace, Executive Vice President and Chief Financial Officer. I would like to now turn the call over to Mr. Paul Isabella, President and CEO. Please proceed, sir. 
Paul Isabella: Thanks, Chris. Welcome, everyone, to our fiscal year 2012 third quarter earnings call. Beacon had another very strong record quarter, exceeding our internal expectations, once again, and we also exceeded the prior year in many key measurements. Almost all of our regions had exceptional results. Sales in total were up 3.7%, while existing market sales were down 1.5%. The existing market's slight decline was a result of the strong sales comparisons from Q3 of 2011. This was due to extensive storm damage repair that we serviced late in Q3 of last year. Markets in the Midwest, Texas and Carolinas were heavily impacted in that quarter and beyond. We believe we did an excellent job of replacing much of that storm volume this quarter -- this past quarter. Our team worked very hard to come very close to flat organic sales against extremely tough sales comparisons. We're very pleased.
 Compared to the prior year, our adjusted EPS results of $0.62 exceeded last year's $0.51, and existing market operating income came in at a very robust 9.6% versus 8% last year. These are excellent results that point to our ability to control cost and lever gross margins across our regions. We have a great management team, an overall team.
 Our acquired markets did very well in the quarter, with adjusted operating income coming in at 8% which is close to the company average for the quarter, adjusted for higher acquisition-related amortization and the Enercon earn-out. 
 We recently executed several strategic acquisitions. Cassady Pierce of Pittsburgh, and Structural Materials of Los Angeles, joined the Beacon family. 
 We also added Contractors Roofing & Supply of the St. Louis market last week, which combined with our new greenfield branch recently opened in St. Louis, gives us a solid presence in that large market. 
 In just over a year, we have executed approximately $260 million of acquisitions. These acquisitions give us an extended -- expanded footprint and continue our progress towards our goal of having national coverage.
 We're in position to close the year out strong. Year-to-date operating income is 7% versus 4.5% last year, which is in the middle of our current stated 6% to 8% goal, and we still have another profitable quarter to go. 
 Gross margin came in at a total of 25.1% compared to 23.4% last year, which is great progress. Our year-to-date performance has been excellent. Sales are up 16.4% in total year-to-date and 11.7% organically. Operating expenses are down 90 basis points. And as I said, EPS went from $0.60 in 2011 to an adjusted $1.07 for 2012 year-to-date.
 As I referred to earlier, this is a reflection of the hard work of our employees, tremendous leverage of our operating expenses, and shows our ability to execute our strategic plan, which is focused on customer service, quality growth and operational execution.
 Now as I did on the last few calls, I'd like to give a little more detail on 3 important points impacting our business, namely, sales, price and EPS. 
 Let's start with sales. As I just mentioned, organic sales for the quarter were down 1.5%. However, we're still very satisfied with the overall demand that we saw in Q3 as we beat our internal sales plan for the quarter. And the level of activity in Residential Re-roofing was strong enough to support year-over-year average price increases, albeit ours was small at 1% or so. 
 As you may recall, on our last earnings call, we had commented that we thought shingle pricing might fall in Q3. Even though the shingle buy across the industry, was deep, purchases from the manufacturers, pricing increased in the quarter which was great news. This, along with our aggressive inventory purchases in Q2 and early -- in the early part of Q3, enhanced our gross margins in many regions. 
 The drop-off in Non-residential Roofing in Q3 was expected to occur at some point this year. Dave and I had even talked about it last year on our Q2 and Q3 calls. However, the activity was strong enough in that market place, as well, to support year-over-year average price increases of about 10%. 
 As for Complementary Product sales, they fell back slightly, probably due to some pull-forward activity in the Q2 from the milder winter weather.
 We normally don't talk much about our monthly sales due to the significant effect weather can have on any individual month sales. But we thought for this quarter, it might help to show the movement of overall sales as we run up against last year's very tough Q3 sales comparisons. As we disclosed on our Q2 earnings call, April was up about 15%, and then May was up about 4%, and June fell back about 16%. Sales per day later in Q3 just couldn't keep up with last year's very high-storm business, that started primarily in the middle to the end of last May. No doubt our June 2011 was a very, very strong month.
 July overall sales this year were much better, down only 2%, or 6% on a same-day sales basis, again, against a very tough comparison of July last year, when there was still a large volume of storm business. Again, we're very pleased with this result. 
 We'll also be aided, moving forward, by hailstorms that occurred in some of our markets this spring. As the summer progresses, our team is working very hard to offset the tough comparisons, as we did in Q3, due to the heavy storm damage sales we had last year.
 On the last earnings call, I said full year organic sales would be between 5% and 10%. Our view today hasn't changed, that we believe we'll end the year -- the full year with approximately 7% organic growth, which equates to approximately a 2% organic drop-off in sales in Q3. Again, as stated, relating to Q3, we view this as very good results because of the high level of storm sales in Q4 of 2011.
 Now I'll talk a little bit more about the trends in pricing within our industry. As usual, in calendar 1, the shingle manufacturers offered pricing deals during that slow period and ahead of 2 announced price increases. As stated earlier, indications are that the distribution length of the supply chain stocked up heavily as a result of those offers. However, as we just mentioned, this increased inventory did not cause our average selling prices to fall in Q2 or Q3 as compared to last year. And at this point, if our competition has sold off most of its inventory, and if demand remains strong enough, we believe at least a portion of the first round of announced price increases will take hold sometime during our Q4. 
 In the Non-res market, 2011 was the first year in a long time that prices went up and stayed up, as we ended the calendar year with average prices up a healthy 10%. In this market for sure, it's tougher to track pricing changes or predict future changes, as most of the projects are sold through bids for specific work and cannot easily be compared from period-to-period. We think pricing, though, for the remainder of the calendar year 2012 will be at least -- will be at least able to hold the current levels. 
 For our Complementary products, we saw some small average price gains in 2011, but that market still needs demand to increase, to permit some additional needed price increases. 
 All these pricing trends position us well for the remainder of 2012 as demonstrated by the positive impact of the third quarter pricing levels.
 Related to EPS, as we have mentioned, our year-to-date 2012 results were above our expectations in sales and gross margins. And our management team did an excellent job of leveraging our operating cost to provide a robust $1.07 of adjusted EPS. 
 We're off to a reasonably good start in Q4, as July sales were up much less than June, which we think confirms our belief that there's higher base demand outside of storm areas. Given all of this, we're comfortable with the current analyst average EPS estimate of $0.59 for the fourth quarter. On the last call, we said we thought we would end the year at approximately $1.55, and could possibly get closer to the analyst estimates at that time of $1.62, based on pricing or storms. Our current outlook is $0.04 above that at $1.66. Again, this means we've done a very good job of replacing last year's storm volume, leveraging cost and gross margin.
 I'll now turn the call over to David for his discussion of some more of the details of the financials. David? 
David Grace: Thanks, Paul. Good morning. If you are using our slides to follow along, let's begin with Slide 1. Our fiscal 2012 third quarter organic sales, which reflect our existing markets by excluding sales at branches acquired since the beginning of last year's third quarter, decreased 1.5% to $525.2 million. Total sales for this quarter, which isn't shown in the slides, increased 3.7% to $560.5 million from $540.7 million in 2011. We had 64 selling days in both 2012 and 2011.
 In the product groups for our existing markets, Residential Roofing sales increased 1.7% while Non-residential Roofing decreased 4.9%, and Complementary products were down 3.0%. Although we saw a sequential strength in most markets and we benefited from the higher industry-wide selling prices, we could not overcome last year's strong existing market sales, which were boosted by re-roofing activity from the storms. Non-residential Roofing saw its first drop in year-over-year sales in 8 quarters. As volume was off about 15%, our prices were up 10%. 
 Complementary Product sales fell off slightly after a rebound in the second quarter. The regions with the most storm damage in last year's third quarter suffered the largest sales decline in this year's third quarter, with Residential Roofing leading the losses in those markets. 
 Two regions had total existing market sales growth for the quarter, the Mid-Atlantic and the Southwest. We estimated that the impact of inflation on our sales and gross profit by looking at changes in our average selling prices and gross margins. Selling prices were up overall 3% to 5%, with Non-residential Roofing products as strong as that 10% to 11%. Residential Roofing, up only about 1%, while Complementary Products were up 3% to 4%. Our gross margins were up during the quarter, so the average changes in our product costs were less than these increases. 
 We operated a total of 200 branches at the end of this quarter, compared to 185 last year. We opened a new branch and acquired 6 branches in both this year's third quarter and in last year's third quarter. 
 Total gross profit was 147 -- $140.7 million, compared to $126.7 million in 2011, an 11% increase. Existing market gross margins increased to 24.9% from 23.4% in 2011. We had a greater concentration of residential sales, which typically have higher gross margins, along with improved gross margins in those residential sales, supported by the slight increase in our average selling prices and sufficient demand in most markets. 
 Existing market operating expenses, which is Slide 2, decreased by $1.3 million or 1.6% to $80.6 million from $81.9 million in 2011. Acquired market operating expenses increased by $7.1 million to $8.8 million. Payroll and related costs, including incentive-based pay, overtime and profit-sharing, increased $0.6 million in our existing markets, mainly due to higher delivery-related wages and overtime. 
 Bad debts were 1-point million dollars (sic) [$1 million] lower, primarily due to a lower percentage of past-due accounts as the milder winter enabled more of our customers to stay current with their required payments and that favorable trend continued into Q3. 
 Finally, depreciation and amortization decreased $1.3 million due to the drop off of amortization related to purchase accounting, and lower depreciation as related to lower capital expenditures in the more recent years. 
 Operating expenses as a percentage of net sales increased to 16.0% overall, but were consistent, year-over-year, at 15.4% in our existing markets. Interest expense was up $4.8 million to $8.2 million in the third quarter, as the benefit from our lower debt was more than offset in the third quarter by the negative impact from noncash charges of $3.7 million for the ineffectiveness of certain swaps, and $1.2 million related to the financing -- refinancing of our credit facility.
 Income tax expense was $17.7 million in 2012, reflecting an effective rate of 41.1%, compared to 39.5% in 2011. The higher quarterly effective rate was due primarily to certain discrete items, a higher effective state tax rate and less of a beneficial impact in this year's third quarter from the low Canadian rate. We currently expect our annual tax rate to be approximately 40%, excluding any future discrete items. 
 As a result of all I've mentioned, our net income was $25.4 million for this quarter, compared to $24.1 million in 2011. Excluding the charges in the interest expense mentioned above, and also a $1.3 million noncash charge due to the adjustment of an acquisition earn-out, and net of the related tax benefit of $2.5 million from these special charges, our net income would have been $29.6 million, all of which is reconciled to GAAP measures in our press release.
 Our diluted net income per share increased to $0.53, or $0.62 without those charges, from $0.51 in 2011, and this is shown in the Slide 3. 
 Our earnings before interest, taxes, depreciation, amortization and stock-based compensation or adjusted EBITDA, which is also reconciled to our GAAP net income in our press release, was $60.2 million for 2012, as compared to $50.8 million in 2011.
 Now let's take a look at our year-to-date results, which start on Slide 4. Year-to-date 2012 sales increased organically 11.7% or 12.9% on a same number of days -- business days basis. Total sales, again not shown in the slide, increased 16.4% to $1.45 billion from $1.24 billion in 2011. On a same-business-days measure in existing markets, Residential Roofing increased 20.7% while Non-residential Roofing and Complementary Products increased 8.4% and 0.8%, respectively. All regions have grossed for the first 9 months, with 4 regions above 10%. 
 Total gross profit was $351.8 million, compared to $286.8 million in 2011. That's a 22.7% increase. Overall, in existing market, gross  margins were 24.3% and 24.2%, respectively, compared to 23.1% in 2011. Existing market operating expenses, which is Slide 5, increased by $8.2 million or 3.6% to $237.1 million from $228.9 million in 2011. Acquired market operating expenses increased by $17.6 million to $19.3 million. Payroll and related costs increased $9.6 million. Selling expenses increased $2.0 million. G&A expenses increased $1.9 million, while we saw savings in bad debt of $2.6 million, and depreciation and amortization decreased $3.1 million, all in our existing markets. 
 Operating expenses, as a percentage of net sales in our existing markets, declined to 17.2% from 18.6%. Interest expense was up $4.7 million due to the same factors I just mentioned for the quarter. The 2012 income tax expense was $33.0 million, reflecting an effective tax rate of 40.9%, compared to 39.4% in 2011.
 As a result of all that I've mentioned, our year-to-date 2012 net income was $47.7 million, compared to $28.0 million in 2011. Of the $19.7 million increase in net income, we estimate that 25% to 35% was potentially attributed to inflation in our products sold.  Without the year-to-date impact of the special charges I mentioned for the quarter, our net income would have been $50.9 million. Diluted net income per share improved to $1 or $1.07, without those charges, compared to $0.60 in 2011. That's a 78% and it's shown in Slide 6. 
 As Slide 7 shows, cash flow from operations was $35.3 million in 2012, as compared to $37.7 million in 2011. The slightly lower cash from operations was principally due to less favorable changes in working capital this year, partially offset by favorable -- by more favorable impacts from the increase in net income and higher noncash items. The year-to-date 2012 changes in working capital consisted of unfavorable impacts from a decrease in accounts receivable of $19.8 million and $21.1 million -- and a $21.1 million increase in accounts payable and accrued expenses, more than offset by unfavorable impacts from increases in inventory of $62.1 million and $20.5 million in prepaid expenses and other assets. 
 Our accounts receivable day sales outstanding were down compared to last year, mainly due to a lower concentration during this quarter of sales in June, compared to last year. Inventory turns were flat as the positive impact of higher sales offset the negative impact of this year's slightly higher inventory levels. The increase in prepaid expenses and other assets was primarily due to higher amounts due from vendors for incentives, which resulted from a higher level of purchases and increased seasonal special buys. Lastly, the increase in accounts payable and accrued expenses was primarily due to normal seasonal factors.
 Capital expenditures in 2012 were $12.2 million compared to $9.9 million in 2011. Cash used for acquisitions was $94.5 million in 2012 compared to $34.8 million in 2011. Net cash used by financing activities was $41.8 million in 2012 compared to $3.8 million in 2011. This year's financing activities included the paydown of debt at the time of our refinancing.
 Finally to summarize, a few key points from my presentation. Organic sales declined 1.5% for the quarter, but organic gross margins were at 25 -- 24.9%, compared to 23.4% in 2011. Organic operating expenses, as a percentage of sales, were unchanged from the third quarter of last year at 15.4%. Diluted net income per share increased to $0.53 from $0.51 in 2011, even after those special charges we just talked about. 
 The first 9 months of fiscal 2012 were very strong, although our existing market sales have slowed recently in comparison to last year, but we expected that. Margins appear to be holding up pretty well in most of our markets, and we continue to successfully assimilate our recent acquisitions. We have a strong balance sheet along with our new credit facility that continues to form a solid foundation for future growth and building value for our investors. 
 And now, Chris, I'd like to turn the call over for our questions and answers. 
Operator: [Operator Instructions] And we'll take our first question from Michael Rehaut of JPMorgan. 
Michael Rehaut: My first question is with regards to the fourth quarter guidance of $0.59. It would appear that embedded in that would be a gross margin, I believe, below 24% or even maybe approaching 23%. So I just wanted to know if that's -- if my math is correct on that, and also how to think about gross margins for 2013, given the fact that 2012 would still end up stronger than the last couple of years, and I know mix plays a big role in that. So that's my first question. 
David Grace: Sure. I'll take the first part of it and Paul can chime in on the 2013. I think you're off a little bit. I would expect the margins to be about 100 basis points higher than that calculation. Typically for Q4, compared to Q3 sequentially, we do see a drop and that mainly relates to a mix change because we do more Commercial business in the summertime, mainly with the municipal work with schools and colleges, and things like that, that comes along. So I think if you were, again, to be about 100 basis points higher, the math would come out a little bit better. Remember, we have some acquisitions in there now, too, in comparison, which have about the same gross margins we have, but the expenses are a little bit higher. 
Paul Isabella: And the second part about 2013, I think as always is a case, and as we mentioned, it is a truly -- a lot of it is a function of the health of the market, the overall economy. I mean, there is no doubt re-roofing is going to continue as it does and that's been our thesis for a long time. It's hard to predict, I'd like to think, though, that our gross margins are going to continue to be strong. We have outstanding buying practices. We have a very organized group of individuals that are running our regions and branches, very disciplined. So given, I think, solid demand -- future solid demand and an improving overall market in the low single-digit growth, as it has in -- for the last 20 or 30 years, other in the last 3 or 4 years where we've got issues, and I'm optimistic that we're going to have some pretty solid gross margins as we move forward. 
Michael Rehaut: Okay. The second question around the acquisitions. You've done 3 now in the last 6 months or less. I was wondering if you can just review how your -- what that impact would be. I think in total, you're talking about $150 million, roughly of sales.  What EPS impact that might have on 2013? And if you see this -- the pace that you've had in the last 4 or 5 months, if you see that pace continuing into the back half or into 2013, or if not accelerating. 
David Grace: I'll answer the question about the next year's powers, the EPS. When we bought these last 3 that we've happened to do this year, we estimated that each of them would be 1% to 2%, mainly F&P and Cassady, and now Structural. So I would think for next year, they will be in that $0.05 to $0.07 range, perhaps a little stronger. We've already done some things that are going to make some changes in those entities and take advantage of some of the synergies that we've had talked about as we made those acquisitions. I think you still have to  remember that purchase accounting and amortization for those is still in the 2% range, where our normal amortization is averaging only less than a 0.5%, so they have a disadvantage there. But gross margins are good at those companies. We've made some changes. We've expensed all the purchase accounting stuff that we had to under the new rules, so next year looks like it will be brighter for those. 
Paul Isabella: Yes, if you look, as I've mentioned, on the -- that focused on the adjustment operating income in the Q, you can see the acquired markets at about 2.7. As Dave said, there's a nice chunk of that besides the Enercon piece, which is fairly substantial. There is a big piece of amortization, and you add those 2 together and that's where you come up with the -- I came up with the 8.4% operating income. So we're pretty pleased with the improvement. And as Dave said, we think the -- there should be a good contribution in 2013. The second part of your question about the future, I mean, we're as active as we have been in the last 2 years. And we have a tremendous pipeline of folks we're talking to. So we're hopeful that we'll continue to do deals as we go through the future. No guarantee, and obviously I can't talk about -- we wouldn't talk about the specifics, but we're as active as we've ever been. And the climate seems -- given the 3 we've done plus Enercon last year, and Halifax, and then the CRS acquisition last week in St. Louis, there just seems to be an awful lot more activity. 
David Grace: And I would just point out, Mike, that we think we'll be in that 10% to 15% range that we've been talking about. We know we took a hiatus during the recession, but we're getting back into those levels, and the $260 million we did over the last 15 months is proof of that. 
Paul Isabella: Yes, if you look at -- we're going to end the year, and I didn't mention it on my opening comments, but based on what we're projecting internally, we'll end the year over $2 billion in sales, closer to the $2.50 billion. And so you take that $260 million against that, and that fits in nicely with our acquisition strategy, as Dave mentioned, at 10% to 15%. 
Michael Rehaut: Just to make sure I heard that right.  So $0.05 to $0.07, though, in the beginning of your comments, David. Do you expect these last 3 to be $0.05 to $0.07 accretive for next year? 
David Grace: Yes, at least that, Mike. Again, that's what we had talked about when they first purchased them for the first 12 months. So they'd probably be a few cents above that. 
Operator: And we'll go next to Sam Darkatsh of Raymond James. 
Sam Darkatsh: Two questions, if I could. First off, you've talked about the channel inventory last quarter being a big flush with the deep shingle buy. How would you categorize that now after the quarter specifically, as it relates to the industry inventory? And then secondly, can you remind us as to your Complementary segment, what that mix is as it relates to the builder of business? I would think that with the new home construction activity over the past, now, 6 to 9 months or so, we'd start to see that reflect itself into a little bit better results in that particular segment, if you could? 
David Grace: Yes, I'll start off with the inventory question and Paul can chime in again. It's hard to tell what the industry is doing because again, no one else is public but us. We would hope that the inventories have come down like ours always have. We would also hope that during the summer month that the industry -- and we plan on it, is going to shrink because we always shrink heading into the winter period. Last year, we went down by about $70 million from June to September. I would expect about that same decline. And I think what that provides for as the inventory turns is a possibility of those price increases coming forward. Owens Corning mentioned that once the inventory bleeds out of the industry, we'll get some help there. 
Paul Isabella: Yes, and I don't have too much to add. I mean, we -- in the Q again, you could see we ended up at net 284 against 269 last year. So we're not that much over. And as Dave said, we did bleed down to about 200 at the end of the year. So we would expect the same thing to happen. I don't -- as I talked to my folks or make observations in the market, there is no doubt the industry bought a lot. It appears that it's bleeding anything most of us now are buying, which I don't think there's an awful lot of buying going on, is at the new pricing. So I think it's just -- without being able to predict exactly at some point, there'll be increased buying, especially if demand holds up, as I referenced, then that's when we should see prices take a better hold in the market. 
Sam Darkatsh: And then your Complementary segment, if you could talk to that? 
David Grace: Yes, the Complementary Products, the largest piece of that business is vinyl siding, then perhaps wood sidings and windows and doors and those types of items. We don't sell a lot directly to the builders, but we have built the programs. I still think it's a very small piece of our business, it perhaps is under 10% to 15% of that business, if it's even that high. And again, we're selling to their subcontractors, so it's a little more difficult for us to track it, but it's still small. We've seen no great new housing boom. When it comes, like, we'll be happy, but right now it's a small increase that's helping, but it's just not significant yet. 
Paul Isabella: Yes, that's why we continue to make comments about the more discretionary nature of this product because it's more remodeling-based for us. And we just haven't seen the pop yet. We do feel, I think, in the future, as whether it's home-building coming back or just the economy gets healthier, unemployment discretionary spending increases, that could be a very good growth area for us, maybe even above the other 2 categories, albeit it's much smaller. 
Operator: And we'll go next to Kathryn Thompson, Thompson Research Group. 
Kathryn Thompson: First on gross margins, how much did mix benefit gross margins in the quarter versus price, in other words, getting the benefit of some of the prebuy? And tagging on a little bit earlier to your commentary on gross margins, can you maybe clarify how sustainable are gross margins going forward, particularly as you ramp up acquisitions, your being in acquisition mode? 
David Grace: Well, the first question, the price increases that happened in the asphalt shingles, we've got about a 1% average selling price increase. So if you do the math, that means approximately 2/3 of that was from better buying of lower costs that we have with the increase of about 170 basis points and overall gross margins. So I'd say it's about 1/3 price and then 2/3 better buying. As far as the gross margins and stuff, I'll let Paul answer that for next year. 
Paul Isabella: Yes, I mean, I mentioned earlier about the need, of course, to have a healthy economy and demand, et cetera. On the acquisition piece, if you look in the Q, I believe, but I don't have it in front of me, I believe it was 27%, yes, 27.7% for the acquired markets on that $35 million of sales. So that's a nice difference where we ended the existing markets, which were around 24.9% for the quarter. So in of late, our acquisitions have been flushed or had a much larger percentage of resi than commercial. So I think, actually, Kathryn, that's going to help us as move forward. 
Kathryn Thompson: Okay, and quick, and 2 kind of housekeeping items from the quarter. Interest rate -- run rate on a quarterly basis going forward, and a little bit more clarity on the Enercon charge in the quarter? 
David Grace: Sure. The interest rate really hasn't changed because we still have the older swaps in place. So it's going to be around that 4% average on our outstanding debt. As far as the Enercon charges, we made an estimate last year when we purchased them as required under the new acquisition rules, and estimated that at that time to be almost the lower end of $4.9 million. During the year, they had a bit of a struggle and we're required each quarter to revisit that. At December, we thought they wouldn't make it, and the probability would be, it was that we would pay a lower amount. Well, they had a very good, strong spring season, and came back and made the lower end of the target. So we had to readjust that at that point in time by $1.2 million. Overall we were only off $250,000 from what we thought we would be at last year. Just one of the quirks of accounting is that you have to estimate that each quarter, and it's such a short timeframe that we had on that earn-out that it was difficult to predict where they would end up. 
Operator: And we'll go next to Neil Frohnapple of Northcoast Research. 
Neil Frohnapple: Can you comment on the quoted activity within the Commercial business? Has it slowed down recently with the drops we've seen in the Architectural Billings Index? And just any color on future outlook, that would be helpful. 
Paul Isabella: Yes, we do track quoting activity. And it's been relatively strong, but it sure fluctuates and it doesn't -- necessarily for us, isn't a true indicator of volume. It's really a question of timing and when are those jobs going to be let because of the CapEx funds available, et cetera. I mean, there's no doubt, we have seen some -- if you look and recall from many of our filings, our Commercial growth over these last 8 quarters has been -- was very consistent double-digits, 11%, 12%, 14%, 14%, 15%, 11%, 15%, 16% last quarter, and then the minus 4.9, and so -- and I mentioned in my opening comments, last year, Dave and I commented, I think it was Q2, where we thought the back half of last year might be breakeven, as down single-digits commercially. So we were surprised as we plowed through and continued to see some very strong activity. So I mean, this -- we view this as a bit of a lull. And some of it also, I think is -- and we talked about it earlier in the year. Some of it was -- especially up in the Northeast and the Upper Midwest, where we have big commercial entities, was this mild winter, where there was probably a little bit of pull-forward and there wasn't a lot of damage caused, very hard as we mentioned before to measure. There just wasn't lot of damage. But we're still very optimistic. We have some great commercial regions that really do quite well, and we have great manufacture partners. So we're not concerned, although we continue to watch as many indicators as we can, going forward. 
Neil Frohnapple: Okay. And then, Owens Corning noted that it had seen a slowing of volumes over the last 6 to 8 weeks. Have you seen this in any of your regions? And is the hot weather, lack of rain, causing this weakness? Or any other color, that would be helpful. 
Paul Isabella: Yes, I think, depending on the region, we see some slowdown. Canada has had -- maybe they're seeing some of the things we saw in the last few years. There has been a little slowing there, but nothing huge. I think the biggest difference is probably the fact that manufacturers are shipping into distribution, and they shipped a tremendous amount of inventory -- price-protected inventory earlier in the year. And now, they're seeing distribution burn off that volume. There have been some storms. There was some carryover storm volume from last year and then spring hailstorms this year, but not to the degree there was last year. So I think that's probably some of the softness they're seeing. We've seen that, overall, continued to see a decent -- although it's very competitive, a decent re-roof market in most of our regions on the shingles side. 
Operator: And we'll go next to Ken Zener of KeyBanc. 
Kenneth Zener: The -- I appreciate your monthly data that you gave us. Often more data just causes confusion, but this quarter, I think it's very relevant. I think you said April was up 15 year-over-year, and May was up 4, and then June was down 16, I believe, then you said July was down, too, is that correct? 
David Grace: Yes. 
Kenneth Zener: Now and then you had said down 6 on same-sales days, is that correct? 
David Grace: Yes, there's 1 less day -- 1 more day this year compared to last year. 
Kenneth Zener: Correct. Now could you just, for reference I guess, give us a sense of how much June '10, the comp was up, given that, that was apparently the most difficult month there? A, and then B, one of the building product companies that I had spoken with, and I'm surprised others haven't talked about it, well, we knew the weather was mild, the winter, but can you talk about how you think the excess heat might have impacted activity, given that we were nationally in a rather hot time.  How that might have suppressed demand? 
David Grace: Okay, last year, residential was up about 15% in the third quarter. So it would be equal with 2010's level, if that's really what you were looking for. I think that you would also say that last year, a bunch of that business was shipped into the storm markets, and wasn't really reflective of what was happening in the markets outside of the storms. 
Paul Isabella: Yes, we had quite a pop in the Central Midwest, right at the end of May last year. And it really burst through June and propped up -- increased June sales. And we had very similar activity in the Carolinas that really pushed June up, and then very little activity related to storm. 
Kenneth Zener: Okay, and then I guess, how would you think about the hot weather that we've been going through impacting as well? Because I realize it was a tough comp, but do you think that impacted demand at all? 
Paul Isabella: Well, as I talked to my guys around the circuit during the quarter, any given quarter, but specifically this one, there's no doubt in the Midwest especially, and in most locations, the heat has forced contractors to try to get on the roof earlier and leave earlier during the day, and that has hurt some business. How much?  Very hard for us to say. I mean, as part of the overall cycle I think we see, with whether it's a tough winter, mild winter, a tougher Q2, all those comps. And that's why we like to look at -- I like to look and remind myself of the 20-, 30-year view of this industry, and how it grows at these fairly consistent single-digits. And once we get some of the new housing back to normal levels, even though it's a small percentage of us and then the re-roofing demand continues, it's going to bode well for us going forward. It's very hard to predict though, Ken. 
Kenneth Zener: It is, yes. I guess, and then the gross margin -- in the past you've talked about the spread between res and commercial. If you wouldn't mind kind of updating us there because it seems like the res, even though pricing was up only 1% year-over-year on the residential, it seemed like it was an incredibly strong quarter. A, and then B, how does that relate to -- I know you gave the gross margin guidance and I appreciate that, David, for the fourth quarter. But how -- given my view that the residential was quite high this quarter, what causes the deceleration? Is that your kind of flushing out the lower-cost inventory? 
David Grace: Yes. It's the turn of the inventory. The industry will have to buy new inventory at the higher prices, as Paul just mentioned. It's also the fact that we need to push for the price increases once that inventory turns. So we may be able to make up for the differential, but there's no question, as you mentioned, the difference between Commercial and Residential shingles is larger than it used to be. We used to say, when I first started, that it was 8 to 1000 basis points. Then we went to 1000 to 1200. It's probably at least another 100 or 200 above that now, the differential. 
Kenneth Zener: Right, because, I mean, it gets to 25, it would have to spike sequentially? 
David Grace: Correct. 
Operator: And we have time for one more question, and we go to Keith Hughes with SunTrust. 
Keith Hughes: You've done several transactions here over the last couple of months, what is the competitive landscape for acquisitions look like? Has there been any change, particularly with the private equity activity in your industry? 
Paul Isabella: Well, I mean, every acquisition we make, there's negotiations and discussions. So -- I mean, we don't necessarily know all the elements that we're competing against. But there's no doubt, it's -- we've focused a lot of energy on establishing relationships over a long period of time. So we don't think there's -- the last couple there have been that much in the way of competition. But we're prepared to do whatever we need to buy quality companies within the realm of what we've been paying in the past, based on the strategic fit and value of that company. 
Keith Hughes: David, the last couple of deals, can you give us sort of a range of what you paid in terms of valuation? 
David Grace: It's probably 100 to 200 basis points higher than the 6x to 8x we've been saying, but I would qualify that because these last few acquisitions have been, what -- I won't call them fold-in acquisitions, but they're becoming part of another region. So when we purchased these companies, we know we have some synergies. Now, I'm not using those synergized amounts in the multiple because that's just not how we've ever talked about the businesses, but you can be assured with F&P and with Cassady Pierce that there are some synergies there that, because we're putting them in existing regions, we're going to benefit from. So the ultimate purchase price, I think will be perhaps below that 6x to 8x range, that multiple that we've been talking about. 
Paul Isabella: Yes, Keith, and the same applies Structural out in LA that we just purchased July 1.  I mean, we have 4 existing branches out there that met up with our 6. So now we have a very strong footprint. There was very little overlap -- have a very strong footprint on the sales side and operating side to get some leverage, and as Dave said, as we move forward, which ultimately, on a forward basis, will reduce that multiple. 
Operator: And this concludes the question-and-answer portion. I would like to now turn the call back over to Mr. Isabella for his closing comments. 
Paul Isabella: Yes, just couple of comments and they're repeats, but they're worth repeating. Adjusted EPS for the quarter came in at $0.62 versus $0.51 last year. We're very pleased with that. We talked about the gross margins ending up in total at 25.1%, 140 basis points above last year. As I mentioned earlier, sales should end over the $2 billion mark, close to $2.50 billion, and we're very proud that we've been able to now break and hopefully be able to break that as we close out this year, the $2 billion sales level. That's obviously with the acquisitions. 
 Price was up slightly for steep slope roofing in the quarter. The Commercial Roofing continued to have strong pricing, as we said, increased by 10%. And we believe shingle pricing could rise additionally as inventory purchased in the early spring should bleed out of the channel, and we're very focused on that. 
 We continue to execute on the acquisition portion. I know a lot of questions were -- are geared towards that, on a growth strategy, as we welcome Cassady Pierce, Structural Materials and Contractors Roofing & Supply to the Beacon family. And as I said, our acquisition pipeline is very active and we're confident we're going to make additional investments in the near future. 
 And lastly, we're comfortable with the analyst estimates for the fourth quarter at $0.59, which puts us at approximately $1.66 for the full year. 
 We believe we've done a very, very good job this year, very strong second -- first half as we thought, and a very good job in the second half bumping up against some very, very large storm-generated sales last year. 
 As always, I'd like to once again thank the employees of Beacon and the support of our customer and investor base. We're working very hard to execute our business plan and to drive continuous improvement. 
 Thanks for your interest in our company, and David and I are available in the Peabody office for any questions you might have. Thank you, and this concludes the call. 
Operator: This concludes today's presentation. Thank you for your participation.